Operator: Good day, ladies and gentlemen, and welcome to the Sands Second Quarter 2022 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode. So we will open the floor for your questions and comments following the presentation. It is now my pleasure to turn the floor over to Mr. Daniel Briggs, Senior Vice President of Investor Relations at Sands. Sir, the floor is yours.
Daniel Briggs: Thank you. Joining the call today are Rob Goldstein, our Chairman and Chief Executive Officer; Patrick Dumont, our President and Chief Operating Officer; Dr. Wilfred Wong, President of Sands China; and Grant Chum, Chief Operating Officer of Sands China. Today's conference call will contain forward-looking statements that we are making under the safe harbor provision of federal securities laws. The company's actual results could differ materially from the anticipated results in those forward-looking statements. In addition, we may discuss non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures that's included in the press release. We have posted supplementary earnings slides on our Investor Relations website. We may refer to those slides during the Q&A portion of the call. Finally, for those who would like to participate in the Q&A session, we ask that you please limit yourself to one question and one follow-up, so we might allow everyone with interest the opportunity to participate. Please note that this presentation is being recorded. With that, I'll turn the call over to Rob.
Robert Goldstein: Thank you, Dan, and thank you for joining our call today. A few brief comments than we move to Q&A. The recovery in Singapore at MBS accelerate during the quarter with property EBITDA reaching $390 million. The relaxation of pandemic related restrictions in Singapore and many of its source markets has enabled this encouraging improvement in the financial performance at MBS. We expect the more robust recovery over time as additional airlift in the Singapore comes online and further relaxation measures in the region are implemented. Our conviction the long-term opportunity at Singapore might remain steadfast. Our $1 billion capital investment is underway at Marina Bay Sands as introduced exceptional new suite product and premium segment focused amenities the resort, more offerings will be added throughout the remainder of 2022 and '23. And this one has the properties appeal to premium customers seeking the highest level travel experiences. In addition, we look forward to substantially increasing our investment in the Singapore market as we execute our expansion plans, and Marina Bay Sands in the years ahead. Singapore remains in an outstanding market for additional investment. Let's turn to Macao. The operating environment there remains very difficult in periods when the restrictions have been lifted. The customer demand and spend in Macao have proven resilient at the premium mass level from both a gaming and a retail perspective. As the market eventually recovers our $2.2 billion investment program at Four Seasons in London, we'll provide outstanding growth opportunities in both the premium and mass customer segments. We appreciate the clarity of the revised gaming law in June. We look forward to participating in the concession re-tendering process as it proceeds. We continue to have the largest footprint in this incredible market. We retain great optimism and our ability to perform to pre-pandemic levels and beyond the Macao, once visitation returns. We would welcome the opportunity to invest billions of additional dollars in Macao. We continue to believe Macao is now outstanding market for additional investment. We can see our portfolio of resorts in Asia to be an ideal platform for growth in the years ahead and additionally continue to pursue additional other opportunities in large land base destination resorts in the U.S. and Asia. Let's go to Q&A.
Operator: Thank you. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions]. And the first question is coming from Joe Greff from JPMorgan. Joe, your line is live.
Joe Greff: Hello, everybody.
Robert Goldstein: Hi, Joe.
Joe Greff: Love to start with Singapore here. When you look back at trends within the 2Q, which were obviously encouraging. And you look at the premium mass in the VIP segments, was there anything notable in one segment versus the other throughout the quarter? How even with the recovery month-to-month in the segments throughout the quarter other than seasonality. You talked about source markets driving improvement? What geographies are driving that improvement? And then lastly, with my multi-part, question number one here can you talk about what you've seen so far in July in the first 20 days here? thank you.
Robert Goldstein: A lot of questions there, Joe. We're not going to break out the quarter. I think we'll be -- it’s suffice to say we're pleased that we back in the strong position in Singapore. And the fundamental growth there comes from obviously both base and premium mass, I don't think either one outshine the other is consistent movement in the right direction. I think the biggest thing we're seeing is the airlift is opening up. And that also remains to be the -- remains to be the most challenging part of the Singapore recovery. Airlift is still a challenge. You were getting a lot of good business out of the region, especially of Indonesia, Malaysia, but I think there's a lot more opportunity as the airlift returns. And I think you'll see that in our deck, the Changi monthly visitation numbers are still relatively less than 50% of what they were at pre-pandemic. So although we're delighted with Singapore, and the numbers reflect that. We think it's really optimistic in the months ahead.
Joe Greff: And great to make follow-up…
Robert Goldstein: [Indiscernible] question, Joe. If you want to just keep that's where I think I heard you say, is there more to it?
Joe Greff: No, I mean, I, can you just talk about what you've seen so far in July? Has that trend continued?
Robert Goldstein: I think, we're not going to do that. We're not going to talk about July, I think, but I think the numbers or deck gives you a real good sense of what happened in Q2. And I, again, I think the story in Marina Bay Sands is a regional story and Singapore Story as that, as that place gets more visitation. I think if you look on Page 16 of your slide presentation deck there, you'll see that we've not even reached 50% capacity, and in Changi it's like 46%, but it was May of '19. So we're doing these numbers with a still very, very distressed airlift. And I think, unlike the U.S. where there's unfettered ability to get to regional markets, airlift is back transportation, this is still a place you need to fly to. And so the airlift story can use to hamper the recovery. So I think the $300 million plus quarter is a pleasant upside to what we've thought we do. But there's I think a lot more room to run, as this market opens up in -- into places like Japan, Korea, and more travel. We're really more dependent right now on the closer in foreign markets.
Joe Greff: Got it.
Patrick Dumont: And Joe, one other thing it's Patrick, I think one thing to know when you look at Marina Bay Sands, is that we're not at capacity. And what I mean by that is, to Rob's point, if you look at the amount of airlift coming in to Singapore, it's not where it can be. But we're at levels that are very strong relative to 2019. If you look at, our not only volumes, which are really speaking to the premium mass segment from the catchment area, this is only going to grow. And the good news is we have our team together. One of the things that's been slowing some of the growth coming out of the pandemic, and really capturing some of the pent-up demand and return to normalcy is the fact that many operators on luxury segment didn't necessarily keep their team together throughout the pendency of the pandemic. We were fortunate enough to do that. And so now our team is ready to respond. So we have plenty of capacity to absorb the growth as it comes in. So our view is that this is a good start, but we have more room to run.
Robert Goldstein: To Patrick's point, Joe, one more things to make you aware. We were there, I guess a month or so ago. One thing is disturbing is the hotel business. They even the luxury brands haven't been able to get open 100%. So I'm running at 40%, 50% capacity, because they don't have adequate personnel. And that obviously feeds into Marina Bay Sands. So as they get open fully this year, as that market returns, as employment grows, I think we'll grow with that. There's a lot of room to run here if we get that place fully open, and airlift returns to pre pandemic numbers.
Joe Greff: Great, thank you for your thoughts there. Switching over to Macao. Can you just talk about what your average daily operating expense? Average cash burn rate has been during this most recent casino closure there.
Robert Goldstein: Grant, are you awake? Grant?
Grant Chum: Yes, we're here.
Robert Goldstein: Got it?
Grant Chum: Good morning. Sorry. Just momentarily lost you. Yes, Joe, I think obviously, second quarter, we were running at this $110 million EBITDA loss. So we'll basically just over a million a day. Now as we went into the second half of June, we have a local outbreak of COVID in Macao, and therefore, into the third quarter. Clearly the revenue environment is slower than it has been in the second quarter, especially with the last weeks [indiscernible] casinos as well. So I think you can look back to where we were in 2020. In a very, very low tourism environment in the middle of that year. And take it from that in terms of the actual daily cash burn rate, although I think our operating expenses have moderated a little bit since then. But that's the ballpark region.
Joe Greff: Thanks, guys.
Robert Goldstein: Thanks, Joe.
Operator: Thank you. And the next question is coming from Shaun Kelley from Bank of America. Shaun, your line is live.
Shaun Kelley: Hi, good afternoon, everybody. Rob, just sort of going back to Singapore for a moment. The Changi numbers are really interesting. Is that a pretty good guide for, I guess visitation levels of the property and sort of where I'm going is, thinking about spend per visitor, right. We've obviously seen the pent-up demand, and that those numbers rise across U.S. regional gaming Las Vegas strip. And I think we're all struggling a little bit to know exactly what Asia is going to do, but we can all I think do the math, if visitations down 50 and obviously, you're 75% or 80% of your productivity levels already that's just very good spend per visit levels, but obviously, don't want to extrapolate just from the airport, if you could give us a little bit more guidance.
Robert Goldstein: Well, I think it'd be careful here in terms of extrapolating, without recognize we are running high occupancies already at Marina Bay Sands, where I think you struggle a bit is to factor in when the rest of the market recovers. That's why I referenced the other high end luxury hotels are lots of sleeping rooms, who we benefit from, they come to shop, eat with us, gamble with us, we're not getting that lift, I think that's the -- could be a very impactful down the road, we're very happy to spend levels we're seeing, and we're happy with the occupancy we're getting, but we're not getting that extra people don't sleep in our hotel unnecessarily coming over to gamble, shop, et cetera. So I think that's where we're trying to point out the visitation levels. I also think there'll be helpful in driving better levels of play and spend as these other markets. So you can't lose three million people in a month, like May and not have some impact in numbers. The question you raise is how high is up? And I don't want -- I'm not prepared to answer that, I don't know. But you can't ignore the fact that you're losing 10s of millions of people versus pre-pandemic. The point here is just to make it clear how different is over there versus in the U.S. where visitation levels are back and access these properties is back here in Las Vegas and regionals. It's not the case yet in Asia, and I think will benefit as that rise in spend will get better. There are retail numbers that you might look here on Page 31, as some indication is how powerful the recovery is happening even without full visitation, you can see the sales per square foot MBS and the power what's happening over there. So the good news is we're getting we're profitable, we're seeing growth, the better news is there might be a lot more ahead of us if we can access more people into Changi. So have more hotels around our hotel and see a full visitation inventory. It's not there yet.
Shaun Kelley: Great and maybe just my follow-up thinking about margins in Singapore, right without the revenues being back online, it's been hard to analyze, but can you just talk a little bit about puts and takes there now as we get back to very recovered levels on the revenue side, about some of the, kind of on a stabilized basis as different segments come along? Because I think, there was a tax change there that impacted the market and some other things. So, could you just help us think about pros and cons or segments of business that could impact margins on a stabilized basis?
Robert Goldstein: Pat, you want to take that?
Patrick Dumont: Yes, sure. So a couple of things to think about. First off, just as you mentioned, after March 1, our gaming tax increased both by 3% in the Premium and the non-Premium side. So that 3% does impact margin. Now I think there are some other things going on in Singapore, there's some higher expenses that is used, there's utility costs that have gone up. There's other costs to operate in the market that have gone up inflation that you've seen in other markets are impacting some of the things that we buy. There's also some wage inflation because there's scarcity of labor in the marketplace in Singapore, so a high quality environment to work in. It's just a high demand as our economy continues to grow for high quality labor, so we've seen some labor increase. So there's some things that from a cost basis side are impacting our margins. But the flip side of this is we're not at full revenue yet. So as we grow revenue and as we make investments in these higher value suite products and as we grow some of the services that we offer to our patrons in the long run, we'd like to believe our margins return back towards where they were before, we just need to be operating under normal environment. So we still have some start-up, what's called fits and starts related to some expenses. And I think our goal is to get our margins back to where they were, but it's going to take some revenue growth for us to get there.
Shaun Kelley: Great, thanks. That's very clear. Thank you both.
Operator: Thank you. And the next question is coming from Carlo Santarelli from Deutsche Bank. Carlo, your line is live.
Carlo Santarelli: Thank you. Hey, guys, thanks for taking my questions. Well, Rob maybe you could help here. Just in terms of the -- at Marina Bay Sands, obviously, I think VIP recovered to close to 75% of Q2 '19 levels, as you think about that kind of moving forward are clearly some channels, as you mentioned, Korea, Japan, and I would assume to some extent Mainland in China is curtailed to say the least. But when you think about like the stability of that, in the current environment, does it feel as though that's a number that that's kind of a new baseline, thereabouts, at least as we move forward?
Robert Goldstein: You mean, this current quarter's results being a baseline?
Carlo Santarelli: I'm referring more to VIP ownership volume and kind of the stability of that segment of the market?
Robert Goldstein: I think there's room to run, I think there's room in there. I mean, look at what's happened in Singapore, let's begin with we glossed -- I glossed over the beginning, but we're putting $1 billion in that product. It'll be very blunt about it. It's always been a very appealing building, but it's never had the FF&E component in the suite and room product, I think it deserved, it now has that and over the next 18 months, it'll finish. We were there and the product we're putting together is as good as any place we've ever operated. And I think that's going to be very helpful. To us be clear that Singapore is more desirable than ever as a destination is growing in appeal to a lot of people for a lot of reasons. We referenced the airlift, you referenced China, you're absolutely right, China's obviously not there. But I think you add these things together, the desirability of Singapore as a destination, the rethinking of the FF&E in that building, the return of a lot more airlift than there was hopefully in 2019. Yes, I think that segment can run, yes, I do. I think we can, we also have less competition in the region. Obviously, Macao is not operating at this point. But I think this Singapore business is going to continue to grow because the region, the City state of Singapore is very desirable, and more and more people come to us. So you add our better building with a more desirable Singapore with the airlift, with the opening of China, with the opening of Japan, Korea at all, I think the cumulative impact here is every segment can grow. I have a lot of belief that we can drive -- we have to drive it because there's cost size as it was referenced by Sean and Patrick in the previous call. So we will drive revenue in all segments and we'll be very attuned to it. But I think we were in a very, very privileged position in Singapore right now. And what's happened there, both our building and with the destination itself.
Carlo Santarelli: Great, that's helpful and then just as it pertains to the expansion that the 1000 new rooms, I believe you guys had the construction start, kind of, I guess it was an extension on what you had to begin construction into Q2 of next year, if I'm not mistaken. Is there anything firmer that you guys have around cost and our plans there that you'd be able to share?
Robert Goldstein: Yes, Patrick, do you want to?
Patrick Dumont: Sure, absolutely. So, Rob referenced our visit to Singapore, it was a great visit on a lot of fronts, I think we spent time in the building. And we had the opportunity to continue our dialog around the IR2 expansion. We're very excited to begin, I think one of the things that the pandemic did unfortunately was slow down that process. There's just a lot of things that have to be considered to fit it in to this very complex and very busy environment to make it sort of fit all the requirements that are necessary to get the approvals to begin. And so I think we're working on that now. And it's something that we hope in the coming months that we'll be able to get more firm about a start date, but we're excited about it and working with the Government currently and hopefully we'll get a chance to begin soon.
Carlo Santarelli: Great, thank you Patrick. Thanks guys.
Operator: Thank you. And the next question is coming from Chad Beynon from Macquarie. Chad, your line is live.
Chad Beynon: Good afternoon. Thanks for taking my questions. Wanted to ask about M&A in this environment. And I know that's not a normal question for you guys. But given your strong cash flow, position, your balance sheet and just compressed multiples kind of across the gaming lodging leisure space. How are you thinking about maybe considering some opportunistic looks across the world? Thanks.
Robert Goldstein: Patrick?
Patrick Dumont: So, I think one of the things as a company that alternative pandemic, and part of the pandemic we've always focused on is how we allocate capital, and how we drive the highest returns for shareholders. And you may have heard in the past say that our highest and best use of capital do new development from the ground up. And that's really what we're focused on. If you look at the history of the company, and success in the way it's delivered outside shareholder returns is exploiting a strategy of building large scale integrated resorts in new jurisdictions. And that's what we're focused on. And so for us, I think we have opportunities unique to who we are, we have a long track record with Rob and his decades of experience, the rest of the team has decades of experience in developing these resorts. And so we're going to look to do that, before we look to buy anything, I don't think the idea is that we would never look at something, I think we're always interested, I think we're interested in seeing if there's a way to create greater returns for our shareholders. But as a practical matter, we're not an M&A driven business. And I think for us, our priorities are going to be look for new markets, develop, build and scale, and invest over the long-term to create sustainable and durable returns. And that's really what we're going to look to do. So I understand that there's variability, particularly in the digital side, there's a lot of things that have valuations now that may people see them as compelling for the long-term, there's perhaps some land based opportunities that may come up over time. But as a practical matter, like everyone else will look at it, see if it makes any sense for us. But we're really going to be focused on ground up development. That's who we are.
Chad Beynon: Thank you. And then on MBS again, just on margins, you kind of touched about some of the different pieces of that, because the promotional environment between you and your competitor in the market changed versus pre-pandemic, or does it feel as rational as it was at that time? And do you expect anything to change from a promotional environment once Macao opens back up? Thanks.
Robert Goldstein: We've always been lucky that environment is not driven. I don't think it will be in the future either. And I have to wait and see what happens in Macao. But my sense is Macao when opens will not be a challenge either. There'll be plenty of demand and usually promotional activities, got to controlling his lack of revenue, I don't think we lack revenue in Macao or Singapore. So I feel pretty good about it.
Chad Beynon: Appreciate it. Thank you.
Patrick Dumont: Thanks, Chad.
Operator: Thank you. And the next question is coming from Brandt Montour from Barclays. Brandt your line is live.
Brandt Montour: Hey, everyone, thanks for taking my questions. First one was on Singapore I'll follow-up on that the last question. But more just for the Singapore market, specifically. And we've heard a bunch of chatter out there in terms of potential interest in your main competitor in that -- in the Singapore market? Is there any scenario in which, a different operator would come in and take that over? And that would change the way you look at that competitive landscape?
Patrick Dumont: We'd already have been without it, that's up to the government make that decision. But it's a duopoly market. And I don't see it having impact either way.
Grant Chum: Yes, I think one thing that's important to note is that we view Marina Bay Sands as the best building in the world. And in our mind, it's just an unbelievable opportunity to continue invest and operate the building and grow it over time. So I don't think we view it any differently. We think the market opportunity in Singapore is absolutely unique. And, we're very committed to long-term investment there. So for us, I'm not sure it matters, who operates it, that's up to the Singapore government and to the owners of that business. But for us, we're just focused on, continuing to develop our property and grow the market as best we can.
Robert Goldstein: What I would say about Singapore, we said before, we'll just reiterate is that that place has evolved even better than was we started years ago. And it keeps getting better. And if you look at Changi running it such a still 40%, 50% capacity. Look at the desirability at market, the things we're doing, I'm sure again, thing is as well to improve the product, it just feels like that mark has a lot of room to run, and to grow from us and for our competitor. The offerings get better, our Phase 2 will be even stronger. So to me, that's the market just beginning to feel it's muscle.
Brandt Montour: Okay, great. Thanks. That's helpful. And then just as a follow-up on that, as we sort of think about how to think about the constraints, for how fast that that MBS property can recover. The Singapore Tourism Board recently put out a number for 2022 international visitation that are some something along the lines of $4 million to $6 million for '22. That it doesn't seem like that would incorporate a ton of ramp from here, and I know that's not necessarily exactly what you guys would see. But does that is that make it seem like the Changi airlift is for the rest of yours baked into the cake now or is there can that be flexed up do you think?
Robert Goldstein: I'm not going to speak for the government or what their numbers say. I think the capacity opportunity speaks for itself, I think it's more depended not on Singapore but on the airline themselves and the other countries wanting to reengage and to open them. I think the airport can obviously have the capacity. I'd be surprise if Singapore wouldn't welcome more, more access more flights. It's question of getting the requisite employees in these airlines to get the lift going and open up these countries in a major way. I think it's hard to forecast we're in a world of change every day is different. And I'd like to think there's a lot more opportunity than that, but remains to be seen. If the government's want to engage and if the airlines can get the employees make it happen. I think demand -- underlying demand is absolutely there just gained the ability to get there.
Brandt Montour: Great. Thanks so much, guys.
Operator: Thank you. And the next question is coming from Robin Farley from UBS. Robin, your line is live.
Robin Farley: Great, thanks. Hi, just a quick one on I don't know if I'm missing your introductory comments, any comments on what you've talked about in the past related to online gaming and sports betting and kind of more looking at B2B investments. I didn't catch if you had an update there? Thanks.
Robert Goldstein: We didn't have enough there. We didn't mention, we're focused right now on what's happened. We remain committed to our digital investments and looking at that market. But right now, the story for us is this land based recovery, which we're dealing in Singapore and we made some major strides in this company in terms of liquidity. The reopening of Singapore, and we think the upside potential of Singapore. The licensing process and Macao are focused on that. And of course, most importantly, the return to a normalized operating environment in Macao is paramount. We just been so busy without your focus wasn't on digital. Right now, we continue to look at that opportunity. We continue to invest, we made a few investments, as you know, in the past, so just simply a focus right now on land based.
Robin Farley: Okay. Great. And then also, has there been a change in what you expect for timing and spending a potential New York project, since last quarter?
Robert Goldstein: I'm sorry, I missed you -- about New York.
Patrick Dumont: Timing of spend.
Robert Goldstein: Oh, timing of spend? No, I think we remain a believer in that market. And the process is taking longer than I thought it would. But hopefully it'll come to -- hopefully this year or early next, we'll know what's happening there. Now it's still the density of population and the ethnicity. And the access in New York makes it very appealing and lack of capacity still remains a premier market in my mind, if we can get there is a lot of competition. We're one of many in the hunt there. So nothing new report, we have a plan in place we're executing to it want to wait for the RFP to unfold. So we're nothing new in New York.
Robin Farley: Okay, great. Thank you.
Patrick Dumont: Thanks, Robin.
Operator: Thank you. And the next question is coming from Steve Wieczynski from Stifel. Steve, your line of live.
Steve Wieczynski: Yes, hey guys, good afternoon. So this will probably be for Grant, and it's probably going to be a difficult question to even answer. But, Grant, I guess for us, non-Chinese citizens, it's extremely tough for us to understand, where China is with respect to the reopening process. But I don't know if you can help us understand, maybe what you're hearing around the zero case policy, which I mean, I think the rest of the world probably fully knows at this point is never really going to work. And if some of these harsher stances toward the virus could start to get relaxed before. Maybe is there a timeframe you guys are watching? Or is there anything you've heard? Maybe it's at the October election? I guess, anything around that would be very, very helpful? Thanks.
Grant Chum: Yes, thanks for the question. I think as you alluded to, there's not much that we can help with in terms of any speculation on timelines or changes. I think what we're focused on is, what was happening in Macao. So I think, the things that we can effect is to make sure that we do help the prevailing government policy so that we can actually get Macao reopen back with Zhuhai that's a neighboring city in Mainland as quickly as possible. And that means, I think aligning ourselves fully and safely with the overall COVID policy. And that's what's happening right now. And so hopefully, in over the coming weeks, we will be progressively reopening all of the facilities that we've had to close in the past week. That's what we're really focused on. And it's really not a place to speculate on future changes on the overall health policy. I don't know if Wilfred has more to add on that.
Wilfred Wong Ying-Wai: No, I think Grant, you're right. At this stage, I think the whole country is also employed in this COVID situation. And obviously, policies will evolve. And we in Macao is trying our best to support that local government in order that Macao can return to normalcy.
Steve Wieczynski: Okay, great. Thanks for that guys. And then Rob, obviously, there's been some it's been some movement with regards to the new Macao gaming laws, regulations, whatever way you want to think about it, which actually seem pretty favorable. But wondering how you guys are viewing those regulation changes, and maybe any of the pros or cons that you see emerging from those?
Robert Goldstein: Well, we're grateful for the clarity from the government. I think the process is moving very well. And I think a lot of concerns, some people haven't been eliminated. So we're just going to go into process and hoping to complete this thing in due course, but obviously, we're all pleased. I think all the operators are pleased how this is playing out. And we're hoping for a positive conclusion. I think a lot of the fears have been erased. Grant or Wilfred is going to comment, that's as far as I can take it.
Grant Chum: I think that's right, Rob.
Wilfred Wong Ying-Wai: Yes, absolutely. Grant, go ahead.
Grant Chum: Yes, I'll just going to add that, obviously, we're very appreciative during this difficult time on the COVID front, that the government and the legislature were able to move forward to complete the passing of the revised gaming law in towards the end of June, and that we were able to also execute the six month extension that takes us to the end of this year. So I think the whole process is moving forward expeditiously. And as Rob said, we look forward to participating in the tendering process.
Patrick Dumont: Steve, one thing I would say our company, as you know, has been through it's been an awfully difficult couple of years more than most because we're Asia focused. But we've now completed the sale in Las Vegas gives us more than ample liquidity. Now what happens? Singapore is up and making money and there's more to come. It's a very, we're very grateful for what's happening in Singapore. We see a lot better days ahead. The Macao licensing process is the same way it feels like we've survived it was a lot of people are concerned.  But in the end, it's worked out for everybody in a positive manner thus far. Hope that continues. And we're just waiting for the thing you referenced initially, which is when does Macao, when does the government rethink the zero COVID or how that play out? We don't know. Don't pretend to know. But that's the last thing waiting for it to get our company back to a much better place, but three of the four have been achieved. So we'll continue to press on with a license and wait patiently for the government to advise us on the reopening of Macao.
Steve Wieczynski: Okay, great. Thanks, Robert. Appreciate it.
Robert Goldstein: Thank you.
Operator: Thank you. The next question is coming from David Katz from Jefferies. David, your line is live.
David Katz: Hi, afternoon. Thanks for taking my questions. Number one, I wanted to ask about just the physical plant in Macao. And recalling that, those are have a significant number of private rooms that were historically used for VIP. How do we think about kind of that spatial layout and planning going forward and then I have a follow-up in another direction?
Robert Goldstein: Grant, do you want to take that because I have my own views, but I think you should.
Grant Chum: Yes, sure. I think we've been watching as the market has been evolving and also planning for the future. I think a lot of the salons and suddenly that applies to the new salons that we've developed as part of The Grand Suites at Four Seasons, and the London and Macao projects. I think they're really premium salons, premium gaming salons that could be applicable and used by the different segments whether that's the VIP rolling or the premium mass. So, clearly I think Macao overall, may be relooking at how each operator redeploys their assets. But as far as we're concerned especially the new products that we've developed over the past two years, we feel pretty positive about redeploying a lot of those gaming spaces for the premium mass segment. But also over time, as we look towards the future also the premium direct segment and attracting the overseas markets in the Rest of Asia, into those products. So we've been currently going through a planning exercise on the future deployment of those areas. But as the market evolves and as things normalize, we'll be able to get more definition around that. But even as of the past 12 months, we've been redeploying some of those rooms that were assigned to the Rolling segment, to the non-Rolling segments.
Robert Goldstein: Hey David, no ever thought the additional gaming space in Macao is a bad thing as we focus more on base mass and premium mass, I think actually expands our ability to make more money, the junket business, we always know is a margin challenge business. I feel grateful, we have all this new space coming back to us that we can redeploy. And we're still going to the world's biggest gaming market, real land based and one of the biggest footprint. So as this as we as Grant and Wilfred and the team, rethink that space, I think it adds all kinds of premium opportunities for base mass, premium mass and direct premium as well. So to me, it's a very valuable transition to a higher focus margin business, that enables us to again, Singapore, I mean, Macao, the penetration is Chinese still, I think sub 3% for the China population, there's going to be a growth market, capacity will be an issue down the road, because there are new casinos opening. So I think that space may prove be very valuable as we get back to work in Macao, hopefully this year, or next. But I think we're lucky to have all that extra space, we can redeploy in a more profitable way down the road. So happy to have it back.
David Katz: Understood. And as my follow-up, you've done obviously, the Singapore MBS did a lot better than what we had. But just looking at the ADR of, I think 330 and I'm not sure that you cover this directly so far when we look back to 2019, it was there's still some headroom there. It was about $90 ADR higher. How do you sort of see that evolving as we roll forward?
Robert Goldstein: Pat, you want to take that?
Patrick Dumont: Yes, sure. Happy to, I think some of it has to do with sort of startup across the quarter, I think one of the other things to note is that it's not fully recovered in with all the different segments, because there is sort of not as much FIT and MICE demand as we had across 2019. So you're going to see some ADR spread from that. But I think the most important thing to note is we're making as Rob referenced a $1 billion investment in our product there, over time, our ADR will be higher. So across the next six quarters, and let's sort of focus on at the end of '23 in time for Chinese New Year of '24, we are going to have 400 new suites that we've never had before. And they're the highest quality suites we've ever done as a company. And we're going to drive different ADR. So while we're out a couple of 100 suites now we've got rooms out of inventory, we've had a lot of things going on through the building, it started period, I wouldn't look at this ADR is representative. And so over the next couple of quarters, as we have rooms out of inventory, it's going to -- there's going to be some choppiness, but by the time we're done getting into '23 and getting across '23, when the project is completed, then you'll have a good look what ADR can really be under the value of the full investment, which is substantial. It's basically a complete redo of Towers 1 and Towers 2 and some of the common spaces and amenity spaces that we have. It's going to be a fundamentally different experience for our guests. And we hope and believe very strongly, they'll pay a lot more for it, because it will attract a higher value tourist and that's really our goal.
Robert Goldstein: Our biggest problem in the days ahead in MBS is as that Changi recovery continues, and passengers come back as our game, our biggest problem won't be ADRs can be putting have enough rooms to accommodate all the demand, ADR will climb either to casino direct or through cash customers or to convention. There'll be no problem getting back. That's not the issue. The issue as always been it'd be where capacity constrained in MBS, we need more sleeping rooms. And we'll get the ADR that markets, the recovery you're seeing here is in its infancy it's just beginning. And be assured that we can get the ADR back to pre-COVID levels and above in fact, I hope we can do much better with casino demand and driving casino ADR as well.
David Katz: Perfect, thank you so much.
Robert Goldstein: Sure, thank you.
Patrick Dumont: Thanks, David.
Operator: Thank you. And last question is coming from Dan Politzer from Wells Fargo. Dan, your line is live.
Daniel Politzer: Hey, thanks for taking my question. So, given the momentum you're seeing in Singapore and the recovery is still in its infancy, how do you think about the long-term path to getting back to pre-COVID, the $1.7 billion of EBITDA in the event China doesn't open, do you need China to reopen to kind of get back or get close to that level or given what you're seeing now, do you have a line of sight to getting near there in the absence of China reopening?
Robert Goldstein: It's good question. And we're watching like you are, I think, let's not ever dismiss the importance of China in any of our businesses, China's still a powerhouse as a consumer market. And we should never dismiss it as powerful till we get to $400 million a quarter without China, I mostly would think not. But then again, I would have thought we wouldn't have done this well, with Changi still having underperforming in terms of visitation. So, depends on like the U.S., I think you have to question what were the over indexing come from will Indonesia, Malaysia and other source markets over indexed and that's the question, we don't know the answer that, will there be pent-up demand coming out of Thailand and Vietnam and Indonesia. And could they -- could Korea outperform, I just don't know what the wait and see if those markets open up again, we're in uncharted waters here. It's new. But I would never dismiss the importance of China as a market for anybody in our retail business, or hotel business, or casino business. China is very, very critical to everybody in Asia. And you can see that in any market, we participate in. But how high is up without China returning, I do want to wait and see together. There's a lot of good drivers here that make us feel good, the visitation makes us feel there is opportunity there. Our renovation, it feels like it's been very impactful as comes online. The over indexing of non-China markets feels like it's coming on strong. But I think we'll revisit that and we'll have a better answer for you next quarter, we print our numbers.
Daniel Politzer: Got it. And then just a follow-up. I know COVID cases in Singapore actually have been rising lately. Given your experience working with the government and your perception, and I guess other than their standard of living with COVID and the stage of reopening, do you see any risk with additional restrictions coming back or being put in place?
Robert Goldstein: Patrick, do you want to grab that?
Patrick Dumont: Yes, sure. Happy to, I think at this point, all we can do is be optimistic about the public health posture that Singapore shown, they have shown a lot of leadership, they have a significant history of investment in their hospital system and their public health infrastructure. And I think they're proceeding as they've said, I think they broadcast it all along, and they followed what they've laid out. So as we sit here right now, I think they're moving in the way they said they're going to do, which is continue to have visitation, continue to be involved in the growth of their economy and move forward with this is an endemic situation. But we don't know. And I think this is something where we've obviously shown flexibility to respond as needed to support the government their initiatives, but at this time, it seems like we're heading in the right direction. But could that change in the future? We don't know.
Daniel Politzer: Got it, thank you.
Operator: Thank you. Thank you, ladies and gentlemen, this does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. We thank you for your participation.